Operator: Good day. And welcome to SNC-Lavalin First Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Denis Jasmin, Vice President of Investor Relations. Please go ahead, sir.
Denis Jasmin: Thank you. Good afternoon, everyone. And welcome to SNC-Lavalin’s 2015 first quarter earnings conference call. With us today are Robert Card, President and Chief Executive Officer; and Alain-Pierre Raynaud, Executive Vice President and Chief Financial Officer. We also have with us today, Neil Bruce, our newly appointed Chief Operating Officer. Our earnings announcement was released this morning and we have posted a slide presentation on our website, which we will refer to during our call. Before we begin, I would like to ask everyone to limit themselves to two or three questions to ensure that all analysts have an opportunity to participate. You are welcome to return to the queue for any follow-up questions. I would also like to remind you that as detailed on slide three, certain statements or comments made during today’s call and slide presentation maybe forward-looking. Such statements or comments represent management’s best judgment and expectations as of today’s date as subject certain risks, uncertainties and assumptions, which are described in our financial documents and cannot be guaranteed. I would now like to turn the conference over to Robert Card.
Robert Card: Merci, Denis, and thank you all for joining us today. Our first quarter results exceeded our plan and have begun to reflect the hard work and contributions of our employees in building our growth platform. While we are not yet at our long-term targeted EBITDA to revenue ratio of 6% to 8% our encouraging results demonstrated the best project delivery stability since March 2012. We are optimistic about the year, given the volatility that persists in macro environment. We are maintaining our outlook for 2015 of adjusted EPS from E&C in the range of $1.30 to a $1.60. Our global capabilities and delivery model gives us important scale and an excellent competitive position in our industry. This is particularly apparent in our most recent wins. We are member of the team that the Government of Canada selected as the preferred bidder for the new bridge for the St. Lawrence, which is also been referred to as the Champlain Bridge replacement. This means we will finance, design, build, operate and maintain the bridge. Additionally, we won two sustaining capital contracts from the major oil company in the Middle East with an anticipated combined value of over $500 million. With an already strong backlog we are optimistic about our ability feed in quality projects like these and to complete for projects like the Eglinton Crosslink Transition Solution. We also recently announced important organizational changes, promoting Neil Bruce to the new position of Chief Operating Officer. We have made good progress in project delivery and business development by focusing on people, processes and systems. As part of our plan to accelerate our drive to continue to improve operational execution, we decide to create the COO position and we are thrilled to have Neil in that role. It should also enable me to spend additional time pursuing resolution for important legal matters, which I'll discuss later. I’d like now to pass the call over to Neil Bruce who will provide more perspectives on our operational thinking. Neil?
Neil Bruce: Thank you, Bob. These are exciting times for the company and I'm pleased to be here to do to outline to our shareholders how we will drive operational excellence for the future success of the company. The new position of COO was created with a goal to ensure that we performed consistently across our sectors and geographies with a client focused organization. I want us to be known for our people, our assurances of execution and be at the top of our client preferred list of partners. Our focus will be to accelerate our operational excellence and there are immediate benefits to this new structure. Centralized management of our operations, everything centers around executing work for our clients with our functional support designed accordingly. The focus on the execution end of our business means the project delivery is the primary objective for all of our operating teams. It enables our business to better align with our markets, the four sectors of how our customers see us and this builds cross-selling opportunities. It creates opportunities to take best practice from each sector and replicated across our organization. The process or proposal reviews and approval has strengthened further, helping us achieve higher margins and avoid uncommerical items. We will also gain stronger cost controls. It allows us to share solutions and best practices to make improvements and it builds cross selling opportunities across markets and geographies. In short, the new structure will strengthen our delivery and winning of business across our four key markets, power, infrastructure, oil and gas, and mining. When combined with our financing and operations and maintenance capabilities, we have a strong competitive advantage against our peers. As you will see from the announcement as part of combining our operational management, we also revised and approached to our global operations. Over the past few years the global operations framework has helped us expand geographically and increase our presence in key markets to build on a strong Canadian business. Following this growth and the integration of Kentz, we are now at stage where we are truly an international operator. For this reason, we are ensuring that our global management is embedded into our operations. We have seasoned executive already in placed in each of our sectors, Sandy Taylor in power, Ian Edwards in infrastructure, Jose Suarez in mining and Chris Brown in oil and gas. As part of our global framework, each of these leaders will have stewardship for one of our regions determine by their experience and our business sectors presence regionally. By focusing on operational excellence, we will see improvements in both performance and business winning through the financial cycle and over the longer term. We believe this is integral in helping us deliver efficiently. Of all our operational elements, safety, security and ethics remains are most important. Excellency in these areas will mean that we are well organized and efficient in our delivery, which in turn will be fundamental in reaching our goals. I look forward to updating you all on our progress. I with my colleagues will be available at the end of the call for any questions. Thank you.
Robert Card: Thanks, Neil. We are confident that our organizational improvement will help differentiate SNC-Lavalin, as we continue to move towards becoming a global Tier 1 engineering and construction firm. I want to thank Hisham Mahmoud and Christian Jacqui who are moving on to other phases of their careers, each tackle challenging parts of the business and create efficient structures and world-class teams to help prepare the groundwork for future success. I also want to take a moment to thank Rejean Goulet, our General Council, who announced that he will retire from SNC-Lavalin this summer, after a career of nearly 30 years with the company. He built an outstanding team and will continue to assist the company on specific litigation matters after retirement. Now, let’s talk about our ICI portfolio, in line with our five-year strategic plan announced in 2013, we are implementing our strategy of monetizing assets within our Infrastructure Concessions Investments portfolio. We’ve decided to accelerate the process for monetizing most of our remaining Canadian assets other than 407, with the possible completion date late this year or early next, and we are committing to launch the formal sale of 407 itself, no later than the fourth quarter of this year, have retained the team of BMO and HSBC as advisors for that process. We continue to see strong demand for such high-quality long-term infrastructure assets and are being deliberate in our process for the maximize shareholder value. As in the case of the new bridge for the St. Lawrence, our strategy has remained an active asset investor particularly in the development cycle, where synergies with our E&C business create competitive advantage and opportunities for significant value creation. As noted earlier, one of the benefits of our new organization will be enabling me to increase my focus on strategy and legacy liability issues. With regard to the latter we are very pleased with media recognition we received regarding the high-quality of our ethics and compliance system. Some have used the words gold standard and we will not dispute this. We have always been remaining willing to reach the reasonable unfair solution that promotes accountability while permitting us to continue to do business and protect the livelihood of our over 40,000 employees, our clients, our investors, other stakeholders and the Canadian economy. We are strongly encouraged by the support expressed so far by many stakeholders towards that objective. The Federal Government proposed in its budget to introduce a new government wide integrity regime for its procurement to ensure that it does business with ethical suppliers in Canada and abroad. The budget document says that the framework will also foster ethical business practices, ensure new process and uphold the public trust, and we support these principles unequivocally. However, the focus of the new integrity framework is limited to procurement for the Government of Canada. This means Canadian companies with significant international businesses at risk and other jurisdiction unless Canada adopts policies, which are consistent with its peers such as the U.S. and U.K. These peer country policies incentivize the aggressive adoption of the rigorous compliance programs and early and complete self-reporting while holding firms accountable for infractions, but protecting employees communities and other key stakeholders. Now moving to our financial results. Earnings for the quarter were $104 million, or $0.68 per diluted share, as compared to $95 million or $0.62 per diluted share in 2014. Our adjusted net income from E&C for the quarter was $57 million, or $0.38 per diluted share, compared to $32 million, or $0.20 per diluted share, for last year. The increase is driven by higher contribution from a key growth segments including Oil & Gas and Power and an improvement in the Mining & Metallurgy segments. Bolstered by our successful Kentz acquisition, we expect Oil & Gas and Power to continue to drive E&C net income improvements in 2015. ICI continued to perform well with net income of $37 million or $0.24 per diluted share compared to $64 million or $0.42 per diluted share in Q1 2014. The variance was mainly due to the sale of AltaLink in Astoria last year resulting in no net income benefit for 2015. This is partially offset by an increase in dividends received from Highway 407. Our cash position was $1.1 billion at quarter end in line with March 2014 and we expect to remain in a comfortable position. With a strong financial position and the financial flexibility necessary to fund our operations while simultaneously taking advantage of current circumstances to buy back shares. We expect to be significantly interactive in our share repurchase program as permitted by law and subject to market conditions. Accordingly, we announced today that we intend to renew our NCIB or normal course issuer bid program at the beginning of June subject to TSX approval up to 13.3 million common shares which is the maximum buyback capability available under NCIB. Moving now to our segment review. As I mentioned earlier, we had several positive wins in Oil & Gas, which underscore our confidence in the segment being a driver of 2015 revenues and future growth. Despite a challenged commodity price environment, we’ve been able to drive solid results in Oil & Gas. Importantly, we now have access to key Oil & Gas markets especially those like the Middle East that continue to focus on production in the current environment. We also benefitted from our services graph including sustaining capital services which extract more value from existing assets. In Mining & Metallurgy, end markets remain challenged but we’ve had a number of positive conversations with customers who are positioning to be ready to go once the markets starts to turn. To be clear with many commodities at near-term lows, we believe the market will take time to fully recover. We’re having relatively fewer discussions about capital pullback. So some positive signs are there. For Power, we have a good project pipeline and our new nuclear build opportunities continue to progress. However, we are keeping a watchful eye on timing issues and the award on those we see the key work in T&V, thermal and nuclear. Hydro is showing unexpected strength this year as existing projects progress well and new opportunities emerge. In Infrastructure & Construction, we’ve succeeded in stabilizing the situation in the quarter. We are particularly pleased with the St. Lawrence bridge project which reflects our ability to win competitive public sector contracts as well as our experience in bridge construction. Having committed considerable energy to revitalizing our project assessment and control procedures, we were well positioned to deliver fixed price projects on time and budget and look forward to leveraging these strengths to drive growth and performance in this segment. We continue to see a strong pipeline of new projects, particularly in Canada. Operations & Maintenance performance continues to be good and we expect an overall improvement this year with important new wins and some P3 projects moving into the operational phase. In summary, while we expect an unfavorable macroeconomic environment, we are optimistic regarding our ability to compete and deliver for 2015 and beyond and to drive toward meeting our EBITDA margin target while becoming a global Tier 1 E&C firm. With that, I’ll pass the call over to Alain-Pierre to discuss the results in more detail. Alain-Pierre?
Alain-Pierre Raynaud: Thank you Bob. Good afternoon everyone. I will start my presentation on slide six. Revenues for the first quarter increased by 51% to $2.3 billion as compared to $1.7 billion last quarter 2014. This increase includes incremental services and packages revenues from Kentz in line with our goal of adding a more cost-centric project delivery model as well as an increase in the Power segments as we are no longer required to eliminate E&C revenue generated between the company and AltaLink. The gross margin amounts for the quarter was $337 million compared to $357 million for the first quarter of 2014. E&G gross margin increased by $65 million while the ICI gross margin decreased by $85 million. So E&C gross margin increase is mainly due to higher volume of activity in the Oil & Gas segments, Power and Mining, including for these two segments, favorable forecast on project during completion. I’ll remind you that the 2014 E&C gross margin includes net favorable impact of $35 million, mainly due to the reversal of a risk provision on the Libyan project. ICI gross margin mainly decreased due to the sale of AltaLink. SG&A expense for the first quarter of 2015 totaled $207 million, compared to $187 million for the first quarter of 2014, mainly due to the incremental SG&A expenses in connection with the Kentz acquisition. On a like-to-like basis without Kentz, SG&A expenses decreased by about $20 million. At the first quarter of 2014, included Kentz, it’s worth to compare first quarter 2014 versus first quarter 2015. SG&A from E&C decreased by 6% in the first quarter 2015 compared to the first quarter of 2014 from $212 million to $199 million. This decrease is mainly attributable to cost savings resulting from the company’s initiatives to contain these costs. In the first quarter of 2015, we recorded approximately $500,000 of restructuring cost, positively related to our restructuring and rightsizing plan announced last November. The company is continuing its efforts to complete this plan, which is expected to result in approximately $45 million of after-tax charges over the next 11 months. We also recorded in the first quarter of 2015 $8 million of acquisition-related and integration cost and $21 million of amortization of intangible assets, both in connection with Kentz acquisition. The net financial expenses which stood at $51 million in the first quarter of 2014, decreased by $84 million in 2015, consequently generating a net financial income of $33 million. Two factors drove this debt financial income -- the non-recourse debt reduction due to the sale of AltaLink which triggered a decrease of $44 million in our net financial expense and net foreign exchange gain of $37 million, mainly related to intra-group loans used for repayment of recourse debt of Kentz in 2014. Lastly, on the slide, we see that our net income was $104 million for the period in 2015 compared to $95 million in the first quarter of 2014. Now, turning to slide seven. The slide shows the adjustments we made to get to the adjusted consolidated net income. In the first quarter of 2015, adjusted consolidated net income was $94 million compared to $95 million in the first quarter of 2014. The adjusted net income from E&C was $55 million compared to an adjusted debt income of $32 million in 2014. This increase of $25 million is mainly due to higher contribution from our Oil & Gas and Power segments. The adjusted net income from ICI was $37 million in 2015 compared to $64 million in 2014, mainly due to the sale of AltaLink in 2014, which is no longer contributing now. Slide eight gives more detail on our net financial income and expenses. I’ll just explain the main variance is due to the AltaLink net financial expenses and net foreign exchange gain. Now turning to slide nine. In the first quarter of 2015, we revised the composition of our reportable segments to reflect the change made to our internal reporting structures. We retrospectively reclassified the environment and water subsegments included in the previously resources, environment, and water segments known as AW to the infrastructures and construction subsegment. Neil just explained, we recently announced certain organizational changes in order to further align our business structure with markets. This reorganization resulted in certain changes in the way activities are regrouped and reportable segments are presented and analyzed. As such, the company’s reportable segments are now Mining & Metallurgy; Oil & Gas; Power; Infrastructure; and ICI. Furthermore, as indicated in our December 2014 MD&A, corporate SG&A expenses that are not directly related to projects or segments are no longer allocated to the company’s segments starting January 2015. Therefore, the company’s segment EBIT no longer includes these corporate SG&A expenses that are not directly related to project or segments are no longer allocated to the company’s segment starting January 2015. Therefore, the company’s segment EBIT no longer includes these corporate SG&A expenses, which used to be allocated based on the gross margin of each of these segments. We believes that the use of such segment EBIT will improve the quality of the company’s segments disclosure by providing information that is more comparable relating to their results from operations. Comparative figures have been restated accordingly. Slide 10 now. Slide 10 presents the segmented EBIT. As you can see, the ICI segmented EBIT for the first quarter of 2014 is contributing less, mainly due to the sale of Altalink in 2014. All segments except for the Infrastructure & Construction segments are positively contributing to the first quarter 2015 EBIT. We can also see that the Oil & Gas segment is performing well, as Kentz continued to meet all our objectives in terms of revenues, gross margins, EBIT and net income accretion. Now turning to slide 11. Revenue backlog totaled $11.6 billion at the end of March 2015. This is slightly lower than December 2014, but 39% higher than March 2014. The increase compared to March 2014 is due to the Services and Packages revenue backlog, which grew largely due to the addition of Kentz revenue backlog. The March 2015 revenue backlog does not yet include the project for new bridge of the St. Lawrence corridor. This project will be added to the revenue backlog one side and the financial close is completed. Slide 12 shows our financial position. Two valuations are worth mentioning. First, cash and cash equivalent totaled $1.1 billion at March 31, 2015, compared to $1.7 billion at December 31, 2014. We will see the details of this variance on the next slide. Secondly, goodwill increased mainly due to the strengthening of the U.S. dollars versus the Canadian dollar. Slide 13 summarized the cash flow variation of this year’s first quarter. The most significant variation was the cash outflow from income tax paid on the sale of AltaLink about $240 million and the net change in non-cash working capital items. Our working capital position remains strong despite the net change in non-cash working capital items standing at minus $459 million. Two-third of this amount is due to an increasing contracting progress and a decrease in deferred revenues, a trend that we expect to be reversed within the rest of the year. Now turning to slide 14. As Bob mentioned, we are maintaining our previously announced 2015 outlook for the adjusted EPS from E&C of $1.30 to $1.60. But we are increasing our reported IFRS EPS to reflect the one-time net foreign exchange gains recorded in the first quarter of $37 million. This conclude my part of the presentation. We can now open the line for questions. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Sara O'Brien of RBC Capital Markets. Please go ahead.
Sara O'Brien: Hi. Good afternoon. A question for Neil, I guess about the Oil and Gas segment. We notice there's a big falloff in the sales number quarter-over-quarter in that segment and just wondered if you can comment on that in particular and also on the bidding environment that you're seeing now in light of crude still being at a weak level.
Neil Bruce: So, I will take the second piece first. So in terms of the bidding environment, without a doubt, all of our customers are focused on costs. They certainly are looking at opportunities to drive costs down. Now, we in our position, I think, we are able to in most cases be able to provide a more cost efficient solution to them rather than getting driven down the line of talking purely about margins. The bidding environment is mixed and again, it is very much aligned to what you would expect within the Oil & Gas market globally, which is the high costs producing areas or the areas we are bidding as reduced. So things like the Canadian oil sands are certainly more challenged. But then places like the Middle East where an awful lot of our work is actually Brownfield existing in capital. As you saw certainly today in the presentation, we won a $1 billion worth of work alone within the Middle East. So it is a mix that is challenging. But there is also opportunities I think to increase both the bids and projects that went in ultimately our backlog.
Robert Card: Thanks Neil. Just to be clear -- this is Bob, Sara. We are confident in our numbers for Oil & Gas for 2015. So talking about the microenvironment we are all in it but things look good for us for 2015.
Sara O'Brien: Okay.
Neil Bruce: And as we said, there is $500 million worth of new projects that are actually ramping up at the moment.
Sara O'Brien: Okay. And just could you comment on the quarter-over-quarter decline? I think it was about 30%. So, just wondering if there was anything particular in there.
Alain-Pierre Raynaud: No, Sara, that's mainly the -- we have large projects at Kentz which we recognizing revenue. But like Neil said, we're now ramping up with our $500 million project which has been signed.
Sara O'Brien: Okay. And then a question on the Champlain Bridge and the impact to the infrastructure group. Wondered maybe -- and Alain-Pierre, if you could comment on profitability outlook. What does it take to get to a profitable EBIT within the infrastructure group? Is Champlain Bridge enough or are there other elements which you need to see?
Robert Card: It is Bob. I will take that, if that’s all right. So, Champlain Bridge is a big help. Again, we are not -- we are bidding all of these projects to make money on them. So, I want to make that really clear. There is no throwaways in here. What we said is Champlain plus -- should we be fortunate enough to prevail in Eglinton, which we feel pretty good about, sets us up pretty good for this year, is a very strong pipeline in Canada alone, let alone other countries. So our model would suggest that -- I think we mentioned this in the last call that at this pace of work off of bad backlog and having good backlog that by 2017, we should we starting to hit good upside numbers. 2016, we should be in black. 2017, we should be starting to get normal industry margins and so that’s what we are shooting for.
Alain-Pierre Raynaud: But we can have that -- also on plan, we are fully in line with our objectives as disclosed in our MD&A.
Sara O'Brien: Okay. That's helpful. Just the last question on guidance, the $1.30 to $1.60. Q1 did see a positive project reforecast, which was nice to see. Just wondering if the $1.30 to $1.60, do you include any other positive, such reforecasts throughout the year?
Robert Card: Well, we have a basket of things that happen within those numbers and I guess, just to go back to being what we said, we are optimistic about the year in general but given headwinds in the macro economic environment where we want to do an increase at this time. I will let, Alain-Pierre if you want to add?
Alain-Pierre Raynaud: No, I agree with you. It’s not the time to do so, considering our global environment we have to move in. What we absorbed that all operation as you can observe during Q1 deliver in line with our objectives. We have a good perspective for our backlog through different projects, which as we win at Champlain. But let’s say Oil & Gas win in two of the projects in Middle East. So let’s say, all our indicators are on the green and now we have to deliver according to your expectations and to our expectations.
Robert Card: And Sara, specifically your question, we do have a number of opportunities, whether you are talking about to add more to that, with good news on projects like some of the add. So, we will certainly take all of those we can find.
Sara O'Brien: Okay. And those would be in addition to your current guidance?
Robert Card: In many cases that’s true, not all of it.
Sara O'Brien: Okay. Thanks.
Operator: Your next question comes from the line of Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Thanks. Good afternoon. I just wanted to clarify, I understand there was the favorable reforecast in power, but I wasn't sure if Alain-Pierre mentioned any other favorable reforecasts in the quarter in mining or anywhere else.
Alain-Pierre Raynaud: No, we have let’s say -- what I mentioned is normal way to run the business when projects are close from terminations. We have a deep review and we analyze the risk one-by-one. And if it appears that we are on track, we release a contingency. So there is nothing exceptional. And this one is a recurring way to manage a project for every E&C company. So you will find once again that in the quarter number two, three and four. I mentioned that just let's say to mention that in our portfolio of projects, mainly in mining and power, we have a certain number of projects which are going now to the end, very close to termination. But let's say the backlog is renewed step-by-step. And as you have seen in our forecast, we intend to have a strong backlog at year end.
Robert Card: Yes. We don’t see the power of reforecast as a specialty, it’s normal operating.
Michael Tupholme: Okay. Perfect. Thanks. And then next question relates to the buyback that you announced today. And I guess I am wondering, it's clear from your comments Bob that you expect to be much more active in using this buyback. But I am wondering if you can elaborate on that and maybe provide a bit of color in terms of how comfortable you are? How much your current cash balance you're comfortable directing toward that buyback? To what extent those purchases maybe in some way tie back to some of the ICI initiatives, divestiture initiatives you mentioned? And any color around timing, if this is sort of right now you're going to start or if this is sort of later in the year. Anything on that front would be helpful. Thank you.
Robert Card: I will say a few things, then turn it over to Alain-Pierre. So first going back to front on timing, we expect this to be a continuous process. So it’s not in and out. As you know, we haven’t been able to buy back until a few days last quarter because of being in discussions or having privileged information. So we have to be on the same footing as every other investor when we do it. So we are trying to arrange this such that we can continue with the program. In spite of that, we think we have a path through that. The buyback, I would say it’s conditional on value. So it’s not buying back at any price. So we will have mechanisms in there to manage that. But we expect it to be a regular program. And we believe that we have the cash and even we had to go into our credit facility, it’s a good deal. But when we look at anticipated cash infusions that we will have during the process, we think we can do it without stressing our system. Alain-Pierre, do you want to comment on that?
Alain-Pierre Raynaud: No, let’s say, first, as Bob mentioned, we will be in a continuing process that we are going to stop and go which are detrimental to you and to us, first point. Second point, we never disclose amount of cash we want to allocate, nor the target of share price. But we consider that it’s a good opportunity considering the market situation and our situation in the market. It should restore the trust we have in the future of this company and this buyback program will compromise the stabilization of our performance and other step of our strategy as we disclosed.
Michael Tupholme: So maybe I will just ask one follow-on to that. I mean, would it be reasonable to assume at the current prices and under the current circumstances that you would expect to fully execute this entire buyback?
Alain-Pierre Raynaud: I don't comment on that.
Michael Tupholme: And just lastly, Bob, I was wondering if you can just elaborate a little bit more on this initiative is really to monetizing your Canadian other ICI ex-407. So specifically if you can just provide a bit more color, but also as I understand a number of those are still in the construction process, so how do those fall into that initiative?
Robert Card: I will say a few things and then Alain-Pierre will jump in. So we’ve been mentioning in various meetings and these calls that we have been looking at these other assets for several years. We’ve just been busy on the big ones. And the team has recently come up with some ideas that we like about how to monetize even some that are in process. So I don’t know if we are ready to disclose exact mechanism yet. But Alain-Pierre, do you want to add anything to that?
Alain-Pierre Raynaud: No, exactly in line what you just explained. We tried to take advantage of the really strong infrastructure market. So we would like to abstract value from this portfolio of assets. Obviously, we have no attention to abandon our P3 activities. It’s one of our main golden cause and we continue to play it. So we intend to exploit value and to do that quite fast and our expectation is to be capable to do that before the end of the year.
Robert Card: Let me make it clear we don’t need to do this from a cash proceeds. It does help us with things like the buyback program, but we just see an opportunity emerging in front of us. And if we can dot all the i’s and cross the t’s, we want to take advantage of it.
Michael Tupholme: Okay. Thank you very much.
Operator: Your next question comes from the line of Bert Powell of BMO Capital Markets. Please go ahead.
Bert Powell: Thanks. Robert, you said Q1 exceeded your plan, was that the cost reforecast or what was specific in the results that exceeded what you thought you would do in the quarter?
Alain-Pierre Raynaud: We mentioned that operations are in line with our expectations. So we see our expectation is due to not operating as a foreign exchange is where the opportunity, and we take advantage of it. We also have -- thanks to the AltaLink sale, you remember AltaLink is now out of our balance sheet. So, we have a lot of costs related to the non-recourse debt which disappeared. On top of that, we fully reimburse all our line of credit we draw to organize this acquisition. So from a pure financial point of view and balance sheet structure, we are in better shape and the consequences appear now. Now what we just said that we deliver what is expected in terms of operations once again and that we'll continue to do so.
Bert Powell: Okay. So I am just trying to think about this in the context of the guidance. You’ve guided $1.32 to $1.60, you had a $17 million favorable reforecast in the quarter, and you said the quarter I interpret to be coming in better than you thought. So I am trying to figure out the reconcile keeping the guidance the favorably reforecast and all that you said with respect to the balance sheet and a quarter that you classify as exceeding your expectations. I am just trying to…
Alain-Pierre Raynaud: You remember that in our explanation we disclosed the fact that for the consolidated IFRS guidance EPS at consolidated level we adjust them in order to take into account foreign exchange gain we realized during Q1, which is important for the remaining of the year. So we take that into consideration. Now for E&C, we built the guidance on the fact that we tried to give guidance based on operations in order to make the illustration what is our efficacy in managing this company and we excluded this type of gain.
Bert Powell: Okay. Maybe I'll move on to the next question. Just with respect to other ICI, just can you give us an update? Are you in a position now to put your Ambatovy interest to Sumitomo?
Alain-Pierre Raynaud: So Ambatovy as Sherritt announced, we have achieved the 90% production threshold, so we are very thrilled about that. We have a handful of other criteria that have to be met to fully achieve our objective. We are optimistic about that at this point, but we are not celebrating just yet. But we are optimistic and watching it carefully.
Bert Powell: Bob, would that fall into the camp of one of the things you hope to get monetized by the end of the year?
Robert Card: We hope to get, we are only hoping to, but we have that, that’s one that is not in on guidance at this point in time.
Bert Powell: Okay. And if I could just sneak one last one in. Just in terms of the oil and gas, 760 million in the quarter. I think back if memory serves with Kentz, it was a 40-60 first half, second half seasonality to that business. Is that the right way to think of it? In other words, 760 million in the first quarter would kind of imply still well over 3 billion of revenue in the oil and gas business for the year. Am I thinking about that correctly?
Neil Bruce: It’s Neil. Generally there is the seasonality in the business. However, the one thing that we do need to watch is the fact that we have really high activity on the LNG projects in Australia, which clearly is not seasonal. That is something that’s running and running all the day through. So I wouldn’t rely totally on that case, historical seasonality within the results. I think it will be more predictable through the quarters of this year.
Alain-Pierre Raynaud: Maybe, we can add that also we have the legacy oil and gas, which is let’s say, suffering from -- let say, a difficult environment in West Canada, which also creates trouble if you want to analyze the cycle of this activity.
Neil Bruce: Yeah. Absolutely. I mean that, at the end of the year, we’ve been very open about it. We make energies decision to pull back and respond contract there and that effectively was, certainly was forecast to be within the first quarter and not settling there within that period. And there was also one in Houston. So, ultimately, the other parts of the business, which is more assets support brownfield, has compensated overall for that. So the mix is changing slightly.
Bert Powell: Okay. That’s very helpful, Neil. Thank you.
Operator: Your next question comes from the line of Anthony Zicha of Scotia Bank. Please go ahead.
Anthony Zicha: Hi. Good afternoon. Could we expect decreases in the SG&A costs, especially in the mining and metallurgy to result in more of a solid improvement in operating margins going forward?
Robert Card: You should definitely expect the SG&A cost to continue to improve. So as we’ve said before, that will be a continuous basis. I don’t know if Alain-Pierre, you want to address that in general or Neil specifically.
Alain-Pierre Raynaud: Yeah. I mean, so we did plan to improve within mining around some of our geographies. So as we continue to simplify the organization and bring our sectors within certain geographies. And from a mining perspective is very much around Australia and South Africa that there are opportunities there for us to pull together the support services and the G&A part of the SG&A. And for us to be able to improve that in the next three quarters and we’re certainly looking to do that.
Anthony Zicha: Okay. Good. And excluding the favorable reforecast, can you give us a bit more color on the power segment margins given AltaLink's and inter segment revenues are not being included?
Robert Card: Well, I think, the power market continues to be a strong market. As we said before, we have a lot of work to do to replace the AltaLink volume and it was fairly low margin, so we need less volume to replace the margin. And I’m really happy with what the teams are up to there. The concern, as I mentioned in my discussion is or my talk is that we’re having some challenge getting final authorization from clients. And so that -- to meet that’s the biggest worry for the year is whether we get further delays in final authorizations because we still have a number of projects that we’ve been selected on that haven’t got time to proceed yet. Other than that, I think it’s fairly robust market with lots of upside opportunity. So that’s another reason why we’re kind of holding firm on the guidance as to see what happens with that timing.
Anthony Zicha: Okay. And one last question, Bob. Could you give us some perspectives on your global prospects and where you see the markets being the most promising? You mentioned Canada is pretty promising. Could you also give us some examples?
Robert Card: On company as a whole or just power?
Anthony Zicha: No. On the company as a whole.
Robert Card: Company as whole. Okay. Well, Neil, I invite you to jump into as well. So, Middle East is still very strong and Oil & Gas, across the board for everything there. Oil & Gas is our strongest play. And we see lots of big mining and metallurgy projects and decisions phase there, so that’s quite a promising area. Canada is promising in power but especially in infrastructure, there is just a long pipeline of projects. So, we’ve been talking about $10 billion plus and even though we’re working off that pipeline and still sees a $10 billion plus. And so we’re quite comfortable with what that looks like. We want to stretch beyond Canada in powered infrastructure. Those are key goals we have. And as we increase our footprint and part of the operational objective, we had with the COO job as Neil talked about is helping revise our sponsorship of international locations to try to deploy more of our end markets across greater geography spreads. So, Neil, you want to add anything to that?
Neil Bruce: Yeah. I mean, I think the Middle East and the Gulf States, the wider area including Saudi Arabia certainly are a great market for all four sectors as you said. But then as you go down in sector-by-sector then that changes slightly. So certainly from an infrastructure perspective, Canada is proving to be pretty strong with more prospects there. And in mining, we certainly see opportunities starting to emerge in Latin America and some of the other areas in terms of the sulphuric acid work and expansions in the Middle East also. And we’ve got the ongoing continued expansion of our activities in Australia. So not necessarily brand new contract awards but in terms of expanding and offering to clients and expanding our activities that continues to expand as we go along.
Robert Card: We have a lot of pent-up commitments in mining that if the market breaks, we should be prepare to build out fairly quickly.
Anthony Zicha: Excellent. Thank you very much.
Operator: Your next question comes from the line of Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: Hey. Good afternoon. Bob, now that Neil's going to help you out on the operations side you will have more time on strategy. You often talk about SNC being a Tier 1, striving to be a Tier 1 E&C firm. What type of E&C firm is it going to be, Bob? I mean, most of the top players have either a proprietary technology that gives them an advantage or they go technology agnostic and they have extremely strong execution capabilities. So how do you see SNC fitting into a field of competitors that's kind of bifurcated in that sense?
Robert Card: Well, I think all of the above. I mean, I think you have to have blue chip execution capability to survive. We’re investing a lot in that. That’s another key part of Neil’s role is to keep building on our capability there. And I think we’ve done some great things with our systems and training and what not. So that’s the bedrock of what we do. But we also do have technology and can do as an example, where we have our proprietary technology edge and I think its working well for us. Valerus is another case where we -- it’s not so much proprietary, but we have a great position there. It would be nice to have more robust market in their space right now, but there is still lot of really interesting prospects for them. So I think we see diversity within a disciplined end market focus is being the right answer, meaning that you need to be have a big geographic footprint, because mining -- an example, the mining is going to happen where there the lowest cost production turns out to be and if you there, its great and if you not, its not so great. And you got to have a robust market structure in that location to be able to afford to stay there when it’s not happening. So that’s what we’re trying to build. There is something where we can move resources around to be where the market is and these four key end markets plus environment which we are very enthuse about as well. And that’s all we aiming for as we chart our growth path for the company. We’ve only said we want a greater portion of our revenues and services, so we’ll be trying to get that done as well. We’re pleased with how Kentz has impacted that, but we'd like more of that.
Yuri Lynk: And is M&A still an important component of achieving your goals?
Robert Card: Yeah. I mean, it’s pretty hard in this market to grow much more than low-single digits organically and so it does create an attractive M&A market. We have to demonstrate. We’ve got something that make sense and that can be as financially a successful for us is Kentz. Kentz had some tailwinds from the market, the investor market, because of the oil and gas business. But I can tell you if we bought Kentz again today, we have to pay exactly the same amount, because they’re making all of the numbers that we did the original deal on. So unless you’re going to get a substantial lower EBITDA margin on the acquisition, it’s the same valuation. So we’re happy with that.
Yuri Lynk: Okay. And maybe for Neil, just back on the opportunities in oil and gas in the Middle East. One of Kentz's long-time clients on the E&C side feels pretty good about a new refinery project in Kuwait? Is this the type of work that they would look to bring Kentz in on or is there something that's on your radar there?
Neil Bruce: Well, Yuri, we had refinery in Kuwait is certainly something that interests us, because we have experience there, we’ve got presence there, we do have people within legacy SNC-Lavalin, who have relationships with KOC and KNPC, and within that country. So but that’s only one of many prospects that are currently within our prospect list across the whole region. I mean there are opportunities for us in Qatar, there are within Saudi Arabia and certainly within Abu Dhabi. We are currently doing work for the NOCs within Abu Dhabi. And of course, there's the market that we are also pursuing and some that we're executing for the IOCs with regards to work in Iraq. So there’s opportunities right across the region for us to deploy our expertise not just from a -- I think the addition is not just from a legacy Kentz perspective. It’s from the new combined oil and gas capability perspective. And I think it’s also are writing the fact that we have capabilities that we can ultimately cross-sell and deliver to clients across our four sectors. So a lot of what’s going on in the Middle East also requires infrastructure, it requires power, it requires environmental water capabilities, pipeline capabilities and we have all of that to deploy and part of what we are trying to achieve within these structure is for us to do that and naturally as everyday business rather than trying to look at it as a pure cross-selling initiative. So we are not there yet, but certainly, that's where we aim to rapidly get to.
Yuri Lynk: Great. And last real quick one from me. Bob, can you just confirm on the buyback that you're in fact able to repurchase stock while in an active process to sell Highway 407?
Robert Card: Our lawyers tell us we are in an open position right now today. The only thing we would worry about all that is we have to be in an open position when we renew our NCIB. We still have capacity left in our existing NCIB until that time. So at this point we were reasonably confident we can actually execute the buyback from a regulatory perspective that’s what we are going to try to make happen.
Yuri Lynk: Thanks for taking my questions.
Operator: Your next question comes from the line of Chris Murray of AltaCorp Capital. Please go ahead.
Chris Murray: Thank you. Good afternoon, gentlemen. Bob, you mentioned, with the change in role for Neil that you’ll be able to focus a little more on some of the issues? There’s been some comments attributed to you as of late that maybe have -- maybe a different orientation on how you can deal with some of the issues that you're facing in terms of criminal charges. You -- can you give us some more idea about maybe what you are thinking as there, as we move forward?
Robert Card: Well, I think, achieving the policy change that we think we need to get the issue resolved the way we want to do it is going to take a fair bit of elbow grease, I would say, and a lot of socialization. And so it's important part of doing the organization is part for me to have time to do that socialization to bring constituents up to speed on what the applications are for both us and them in this process. So we have a well designed process that's -- that we have a great team working on and got a lot of good momentum going. I don’t want to go into much about it. At this point I feel -- we feel confident we have the window of opportunity, it might take us 18 months or so to get this done.
Chris Murray: Do you think there is a chance that you could come to some sort of resolution without having fully to go through a core process?
Robert Card: We don’t intend to go through a full core process. It’s possible we could end up there. But that's not what we are -- that not we are gearing up to do. We are gearing up to avoid the full core process.
Chris Murray: Okay. Great. And then just think about, once you sort of have some sort of resolution, once I guess you are in a more normalized situation where perhaps some contingent liabilities go away. What’s the thought process right now? I mean you’ve announced the NCIB but at some point there’s always been this discussion that there may be cash available. At that point, what’s the thinking behind the balance between return of capital of shareholder either in the form of dividend or buybacks and maybe restarting on a growth path in acquisitions?
Robert Card: We have a long-term model which suggest that we can achieve our -- what we believe what we need to do in growth to stay Tier 1 in a consolidating industry and return cash to shareholders through a buyback or some other mechanism. So a steady state. I can hardly wait to get there. We would expect to be playing in both M&A and a buyback or some other return of capital in that scenario.
Chris Murray: Okay. And but -- is any sort of participation in that conditional on getting to the sort of the end of the resolution with the different authorities?
Robert Card: Not necessarily but it just removes a whole lot of things we’d rather not think about to have that resolved. So we are trying to get resolve it either way but if we were to -- if we were right now today to be at our target EBITDA margin and we had filled in what we think are the critical holes in our portfolio from an M&A perspective, we would be considering that now.
Chris Murray: Okay. Great. Thank you gentlemen.
Operator: Your next question comes from the line of Benoit Poirier of Desjardins. Please go ahead.
Benoit Poirier: Perhaps for the recent contract awards and also for your new role Bruce, if we look at the latest contracts you’ve been quite successful with the Champlain Bridge and it seems like you are very well positioned with the AltaLink. You also mentioned that you want to be aggressive on the share buyback. So just with respect to M&A should we assume that you prefer to digest those big announcement before moving on the M&A activity, Bob?
Robert Card: We don’t see the big projects linked at all with M&A. We’ve of course been busy getting the Kentz acquisition integrated. We achieved that at the end of the year and now we are in the phase of really taking advantage of synergies that Neil is leading. And so we are pleased with that and we are active in the community thinking about M&A but I am not -- it’s not top of mind right now. Our top priority right now is execution which is what Neil’s focusing on and dealing with liabilities which is what I am focusing on. But if we find a good M&A fit we’ll definitely take advantage of it then we think we are rather quick financially to do so. Alain-Pierre, did you want to add anything?
Alain-Pierre Raynaud: No. It’s exactly that. With stabilized performance, we have engaged most of resources to deliver on cost in time our big project. And we take care of our shoulders considering their market opportunities. And we take care, we try to extract additional value from the market. So we will be ready once the time will come to enter into M&A as Bob just described.
Robert Card: Yes. But again these big projects do not create a huge disruption in the company. It’s a normal stuff for us. They are only disrupted when they are not going well and unfortunately most of those are gone now so.
Benoit Poirier: Okay. And with respect to the remaining assets for ICI that you intended to monetize overtime, you’ve been all so successful to in terms of valuation in the past. Should we assume similar quality or valuation metrics for those assets going forward?
Robert Card: We see strong valuation in the marketplace. The only caveat I would get is you guys are always moving your target up. So if we can stay out of your target that's an ambitious goal. But we feel good about valuation so.
Benoit Poirier: Okay. And Mining & Metallurgy in terms of EBIT margin, quite an achievement of almost 8% versus previous quarter versus last year. Is it something achievable in the coming quarters or anything nonrecurring in the quarter?
Neil Bruce: Yeah. I think ultimately there was a couple of nonrecurring pieces in there. So I -- we are very pleased about where it is today and the average over the year is likely to be slightly down, not slightly up.
Benoit Poirier: Okay. Perfect. And last -- last one just on the nuclear side, obviously we are well position with the respect to the refurbishment opportunities in Ontario. Am I right to say that it’s been pushed back a little bit, Bob, is it something that you are aware of?
Robert Card: Well, what you are seeing is that Bruce had -- was discussing a year ago about doing refurbishment at the same time and now that it seems to be -- it’s up to them, but it appears to us to be moving into more of a sequential operation. Our work is going really well at Darlington on cost, on schedule, safe. I think the client’s very happy with it. That's a deliberate program and so it’s not a hurry up program. And there could be some delay there, those are the kinds of things I worry about in the timing side. But we are very comfortable with the project.
Benoit Poirier: Okay. Thanks for the time and congrats for the quarter.
Robert Card: Thanks.
Operator: Your next question comes from the line of Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: Hi. Good afternoon. Back to your plans to sell all Canadian ICIs and I apologize if you’ve already touched on this. But is the idea to sell them as a package or individually?
Robert Card: I don’t want to comment on that, but we’ve looked at all of those alternatives.
Frederic Bastien: Okay. Next one -- thanks for that. Next one relates to the changes that you make in your reporting and also your decisions specifically to fold environment and water into ICI. What was driving that? Is this your analysis of whether you can scale it up to where you want it to be or if you could provide more color on that?
Robert Card: The environment was never intended to be reported. We can’t report it because there were three elements in the former REW, two of them we report. So by default you get the third one. And so what we’ve done is combined environment with infrastructure engineering which is our other consulting business. So they are the same business model and that just made sense from management perspective at this time. We believe for environment to hit the point that we aspire to, you need several 100 million more of revenue and that's going to have to come in acquisition space. So that will be on our list of things to consider in acquisition space.
Frederic Bastien: Okay. I appreciate that. Lastly Champlain Bridge, are you planning to build it out of steel or out of concrete?
Robert Card: I don’t want to comment on that just yet.
Frederic Bastien: Just thought I try. Thank you.
Robert Card: Yeah.
Operator: And your next question comes from the line of Maxim Sytchev of Dundee Capital Markets. Please go ahead.
Maxim Sytchev: Good afternoon, gentlemen.
Robert Card: Good afternoon.
Maxim Sytchev: I was wondering actually if you don't mind providing an update in terms of the percentage of the problematic projects in terms of revenue where you left with that bucket.
Robert Card: Maxim, I think as we’ve said in the last call, the revenue has really stopped becoming a surrogate for risk. We continue to work that backlog off. But what we have now is almost all of those projects at Sainte-Justine is in operation. But we still are concerned about warranty risk and the other things that could happen. We think we have them in hand and we properly reserve for them, but that leaves with us a bit. We are happy with this quarter to not get any bad surprises from those. And we hope that Murphy stays in the closet and we have a good luck in the next three. So I think we could probably give the backlog number, but I wouldn’t use it for anything at this point.
Alain-Pierre Raynaud: It’s mainly at Sainte-Justine and obviously it’s less then the previous quarter.
Robert Card: Yes.
Maxim Sytchev: Right. Okay. Now that makes sense. And then actually kind of building on that topic and infrastructure in general, and you suggesting that infrastructure should be back in black in 2016. Is this -- I mean obviously pretty good on Champlain and potentially Eglinton, is there anything else that you have to win in order to be able to be positive on the EBIT side in 2016 from that division?
Robert Card: Well, there is a whole bunch of deal flow that occurs in infrastructure that you don’t hear about which is everyday. So if all of that dried up that we would be in trouble. And we have several more large projects that are in the pipeline now that could make a big difference for us. So I wouldn’t want to say we don’t need to do anything else, but those certainly -- if we get business as usual with those and we stay successful working off to the bad backlog, then we should be in the black in 2016. And then we have our eyes on the deals flow that would be required in -- between now and mid 2016 that would also then propel us with those into 2017 and black.
Maxim Sytchev: Okay.
Robert Card: 2017 more than in the black, 2016 in the black and 2017 into some decent margins.
Maxim Sytchev: Okay. And then on the consolidated margin target of 6% to 8% on EBITDA, how do you think in terms of sort of hitting that range? I guess how predicated is it on macro helping you over the next, let's call it, 18 months? Or do you think just based on better execution, you should be able to maybe hit the low range on that target?
Robert Card: Well, I think the key is to not have markets going down that makes it the hardest because you’ve got resource adjustments to do there. So if we get a flat market, we think we are well positioned enough to take a pretty good shot at it. It will be really handy to have the growing market because then you -- we demonstrated through Kentz that we can absorb a lot more. Even though we’ve been cutting SG&A at a good pace, we can absorb a lot more revenue within our SG&A. If you cab see, we added no SG&A to take in Kentz. So we get an uptick, then it’s disproportionately beneficial to us.
Maxim Sytchev: Right. And then one last clarification, just in terms of the 407 timing, I just wanted to make sure that I heard correctly that you said that the official commencement of the process will be in Q4, or is that that you're hoping to complete the transaction in Q4?
Robert Card: Yes. Let me explain, I’m sorry there has been some confusion. So you think of just the process, we’ve really been in the process here since we closed on Kentz. We now announced we have hired advisors, so that’s the next step. The next step is when we actually go out for tenders. So we would issue an official notice to the interested parties who might want to purchase the assets and say here is the rules of engagement and you've got to turn in something by this date. And that will be a formal press release you’ll see that, probably we don’t have to, but an AltaLink that’s what you saw in November of 2013, I believe is one that one out. You will see something like that and that will fire the gun of the official process. That’s what we are saying will be done by the end of this year, could be earlier, but that’s the commitment we are making. Then once we do that, there is a whole array of timing. So we can sell to one of our partners nearly overnight. We are not sure if that’s best value to go through that process at the get go. And it could take as a long as a year depending on what right exercise and what steps we think we need to be taken to maximize our value. And so once we start the process we’re going to gauging how best to maximize value and because there is not screaming need for the cash right now, we would probably take all the steps necessary to deliver full value. So that would be say six to 12 months nominally from when we start that official part of the process. Does that help you?
Maxim Sytchev: Yes. That's very helpful. And I guess I'm sorry, in terms of, do you feel there has been a bit of slippage in terms of timing or do you feel some of the process rolls as you had originally anticipated?
Robert Card: I apologize if I miss communicated that when I said this year I always met the official start of the process. So we realize some people took that differently and that’s why we trying to be clear now that what we’re talking about is the press release comes out saying we are now into the formal part of the process. And from there, although we could turn back in our view there is really no turning back from that point. So that’s our commitment.
Maxim Sytchev: Okay. Excellent. Thank you so much.
Operator: That concludes today’s question-and-answer session. Mr. Jasmin, at this time I will turn the conference back to you for any additional or closing remarks.
Denis Jasmin: Thank you very much for joining us today. If you have any further question, please don’t hesitate to contact me. Have good afternoon, good night. Bye, bye.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation. You may now disconnect your lines.